Operator: Welcome to the Silicon Laboratories earnings conference call. At this time, all participants are in a listen-only mode. (Operator instructions) Today’s conference is being recorded. If you have any objections, you may disconnect. I’d like to turn the call over to your host today, Ms. Shannon Pleasant. Ma'am, you may begin.
Shannon Pleasant: Good morning. This is Shannon Pleasant, Director of Corporate Communications for Silicon Laboratories. Thank you for joining us today to discuss the company's financial results. The financial press release, reconciliation of GAAP to non-GAAP financial measures, and other financial measurement tables are now available on the Investor page of our website at www.silabs.com. This call is being simulcast and will be archived on our website. There will also be a replay available approximately one hour after the completion of the call at 888-662-6658. I’m joined today by Necip Sayiner, President and Chief Executive Officer; Bill Bock, Chief Financial Officer; and Paul Walsh, Chief Accounting Officer. We will discuss our financial results and review our business activities for the quarter. We will have a question-and-answer session following the presentation. Before we begin, let me comment regarding the Safe Harbor statement under the Private Securities Litigation Reform Act of 1995. Our comments and presentation today will include forward-looking statements or projections that involve substantial risks and uncertainties. We base these forward-looking statements on information available to us as of the date of this conference call. This information will likely change over time. By discussing our current perception of our market and the future performance of Silicon Laboratories and our products review today, we are not undertaking an obligation to provide updates in the future. There are a variety of factors that we may not be able to accurately predict or control that could have a material adverse effect on our business, operating results, and financial condition. We encourage you to review our SEC filings, including the Form 10-K that we anticipate will be filed within the next week, but identify important factors that could cause actual results to differ materially from those contained in any forward-looking statements. Also, the non-GAAP financial measurements, which are discussed today, are not intended to replace the presentation of Silicon Lab’s GAAP financial results. We are providing this information because it may enable investors to perform meaningful comparisons of operating results and more clearly highlight the results of core ongoing operations. I would now like to turn the call over to Silicon Laboratories' Chief Financial Officer, Bill Bock.
Bill Bock: I'm very pleased to report another quarter with revenues of $127.2 million, a 28% increase over the same period last year. Revenue for the year totaled $441 million, a 6% increase over 2008 and a very strong result compared to the decline in the overall industry during the same period. Even more notable than the standout revenue performance is the combination we achieved of revenue growth, gross margin improvement, and earnings expansion. We intend to maintain these gains and we will today announce an upward revision to our long-term corporate financial model suggesting increased earnings potential for the future. Let me start with the current quarter GAAP results, which include approximately $11.8 million in non-cash stock compensation charges. Our GAAP results showed significant improvement over the course of 2009, and we are anticipating further improvements in 2010. Fourth quarter GAAP gross margin increased considerably to 65.5% and 63.4% for the full year. R&D investment for the fourth quarter was $26.6 million. SG&A increased to $30.6 million. Other income, principally interest income on invested cash, was under $1 million. GAAP operating income was over 20% in the fourth quarter, up from 7% the same period in 2008. Fully diluted earnings per share was $0.84 for the fourth quarter and $1.57 for the full year, up dramatically from $0.14 and $0.67 respectively in 2008. These earnings results reflect a substantial tax benefit of $0.40. During the fourth quarter, we entered into an advanced pricing agreement with the internal revenue service. We operate in multiple tax jurisdictions, and this agreement resolves uncertainty regarding the allocation of income among these jurisdictions with respect to the United States. The agreement covers historical tax years from 2005 through 2009, allowing for the immediate reversal of tax reserves established for each of these periods. In addition, this agreement with the IRS provides more certainty into our future effective tax rate. As a result, our new non-GAAP effective tax rate is expected to be approximately 17% if Congress renews the Federal research and development tax credit as expected, or about 18% if not. This is down from the approximately 20% tax rate we have historically been guiding. Turning to our non-GAAP results, revenue of $127.2 million was an all-time record. We further exceeded gross margin expectations achieving 65.7% gross margin in the fourth quarter. Margin improvements continue to be driven primarily by cost reductions and improved yields, but certainly reflect the superior value our products are delivering to our customers across the board. All product lines performed very well, and margins increased for the year in each of our three product categories. For the full year, we delivered gross margin of nearly 64%, certainly an industry-leading result when paired with our revenue growth. Operating expenses were up sequentially, as anticipated, to about 36% of revenue. Successful hiring, tape-outs of new chips, and increased variable compensation due to the company’s financial performance were largely behind the increases. Specifically, R&D was $23.2 million or 18.2% of revenue, and SG&A was $22.5 million or 17.7% of revenue. Operating expenses are expected to increase again in the first quarter, as is typical. So the business delivered nearly 30% operating income again in the fourth quarter, resulting in 25% operating income for the full year. Other income in the fourth quarter was under $1 million and is expected to remain at this level. Net income increased to $50.5 million for the quarter and $111.6 million for all of 2009, resulting Q4 diluted earnings per share was $1.06 and full year EPS increased from $1.89 in 2008 to $2.40 in 2009. It is important to note that even excluding the tax impact of prior period adjustments, earnings for the quarter would have been $0.66 well above our original guidance range. Moving on to our balance sheet, accounts receivables were down ending at $56.1 million or 40 days outstanding. We have no known collection or bad debt problems. Inventory levels decreased sequentially to $31.5 million, and turns for the quarter were 5.5, within our target range. Channel inventory ended at 42 days, down from the third quarter. We expect Q1 inventories will be flat or slightly down again. The supply chain remains in very good balance. We ended the year with $435 million of cash due to continued healthy cash flow from operations. Share repurchases were modest with about $8 million expended in the quarter. We expect this activity to increase in 2010. This brings me to the upward revision in our corporate financial model. We have outperformed our gross margin target for sometime, and we have delivered current model pro forma operating income for the full year of 2009. We enter 2010 expecting to increase our investment activity, particularly in R&D. However, we believe our product lines are in sufficiently strong competitive position that we will continue to gain market share. And with gross margins, that will continue to be excellent. Accordingly, we are maintaining our top line target of 15% or greater compound revenue growth. And we are raising our gross margin target range from 60% to 62% to a 62% to 65% target range. Over time, we also expect to continue to gain efficiency in G&A as a percent of revenue. As a result, we are raising our pro forma operating income objective to 28% from the previous 25% level. We are also introducing for the first time a target for GAAP net income. As we have mentioned for the last two years, we have executing on a program to reduce stock compensation as a percent of revenue. Historically, running at 10%, we are targeting a reduction to the 6% level. We believe a significant step in that direction will be realized in 2010. Additionally, our forecasted long-term effective tax rate has been reduced to approximately 17%. Therefore we are announcing an aggressive GAAP net income target of 20% as a part of our financial model. Please remember, model performance is not going to recur every quarter, but model represents what we believe the business is capable of. This revision should serve us well as a high performance business objective for the next several years. We believe the financial model I have just described represents a genuinely unique value proposition in the semiconductor industry. Before I turn the call over to Necip, I’d like to cover some housekeeping associated with the changes to our business structure that we announced on January 5th. They have a minor impact on how we will report results. Our business will continue to be divided into three major grouping; Broadcast, Access, and Broad-based. Our Broadcast products will include audio and video products. Our Access products, which include embedded modems and Voice-over-IP products, will now also include Power over Ethernet, which is currently very modest in terms of revenue contribution. And the Broad-based category, which will now be classified into two components, Timing and Embedded Mixed-Signal. The Embedded Mixed-Signal category combines our MCU, short-range wireless, human interface, and isolation products, reflecting the integration of the respective roadmaps and technologies that will make it difficult for us to report on these products as separate line items. For your reference, the addition of wireless and the removal of PoE from the Broad-based category at a quarterly positive net effect of about $2 million for Q4 till these changes are relatively minor. In this remarks, Necip will provide 2009 reference points, release product groups, as well as general targets for each product category for calendar year 2010. Necip?
Necip Sayiner: Thanks, Bill. And hello, everyone. It’s gratifying to see that investments we’ve made in the business deliver industry-leading results. And as you know, we are not a company stands still. We have a number of new products, new customers, and new opportunities this year, as a result of the hard work throughout 2009. We have made progress on the critical projects and design wins needed to position the business to outperform again in 2010 and beyond. I think the organizational changes we announced earlier this year will further align the business to capitalize on the position of strength we enjoy entering 2010. Starting with the Access business, Q4 was up 8% sequentially, due to seasonal improvement in modems sold into satellite set-top boxes as well as a return in Voice-over-DSL gateway demand. For all of 2009, Access represented 33% of revenue. The market share gains we alluded to last quarter continued to materialize, especially in Europe and China. New transmission standards are creating replacement cycle, opening a design window for our products to displace incumbents. We anticipate that the full year effect of the share gains along with growth in our PoE footprint with a significant customer will allow the Access business to grow in the mid-to-high single digits for the year. Our Broadcast business was down only about 10% sequentially in Q4. Ramps at major new customers partially filled in the gap created by anticipated slowing in Samsung demand. For the year, our audio business was up double digits, with both the handset and consumer audio product lines posting solid growth. For 2010, we anticipate unit growth for our FM tuners in handsets driven by increased tax rate, even allowing for minor share loss and continued ASP per share resulting in our handset revenue being slightly down for the year. We expect our consumer audio business to continue to flourish with AM/FM revenue doubling again and with the benefit of a full year of revenue from our new major consumer audio customers. The net effect will be another solid growth year for audio in 2010. The video business represents another success story for 2009 and a very promising opportunity as we ramp our market-leading TV tuner. A number of competitors announced silicon tuners recently and none appear to have achieved the performance, integration and cost benefits of our Si2170. To date, the most significant competition remained incumbent discrete tuner. Customer wins are progressing nicely, and I’m very pleased to announce today new design wins for our tuner at two of the top-five TV OEMs. We view these important wins as evidence of the competitiveness of our solution and continue to believe 2010 we will be an adoption year for the technology. We will start shipping modest volume for these platforms as early as this quarter, ahead of our prior projection. In combination, audio and video represented 36% of our revenue in 2009, and in aggregate, are expected to grow in the mid-teens in 2010. Our Broad-based business was up 12% sequentially and over 20% year-over-year. Now at 26% of our total revenue, this continues to be a very strategic growth area for us. All of the Broad-based product lines were up sequentially in Q4. Beginning with the Embedded Mixed-Signal products, which include MCUs, wireless, human interface, and isolation products, the growth represented about 19% of the company’s revenue last year. The business had a record quarter, up more than 10% sequentially and more than 20% year-over-year. Our MCU products had another record quarter as demand for our high-end precision mixed-signal products and small form factor devices continued to rebound. We also ramped industrial, optical transceiver and consumer electronics customers, which contributed to the strong growth. Our low power and USB products also enjoyed record revenue in the quarter. For the year, we shipped more than 25,000 development kits and added about 1,300 design wins, indicating continued demand for our expanding portfolio. Both isolation and short-range wireless products contributed to the record Embedded Mixed-Signal revenue. We continued to see design win success in the industrial segment with both of these product lines. And our newly introduced human interface product, including touch sensors and proximity sensors, began winning designs in Q4. We are the first in the industry to offer both infrared sensing technology and high-performance MCU-based touch sense capability in the same portfolio, all with industry-leading accuracy and response. We expect to build the backlog of design wins for the product family in the first half of the year, with revenues starting in the second half and ramping into 2011. The Timing business had another record quarter, growing by about 30% in 2009, representing about 7% of total revenue. We introduced the industry’s first web-customizable clock, targeting lower end timing applications where we display existing solutions that have long lead-times and limited flexibility. Design wins in the quarter increased by 50% sequentially, signaling continued momentum in the business. While growing share with the major communications equipment makers, we are also expanding into larger volume applications such as broadcast equipment, servers, test and measurement, and small office networking gear. We have a lot of run rate ahead of us in Timing. Even with the significant market share gains achieved in 2009, we still estimate our share to be less than 5%. We are not only excited about the design win momentum, but also the new product line that we have in development, which will continue to grow our addressable market. In combination, we expect the Broad-based products to grow at a rate of 40% in 2010, with the Embedded Mixed-Signal business and the Timing business both achieving that level of growth. I believe our recent alignment of product lines and design teams optimizes both our development and channel sales efforts for our Broad-based business. Bringing our MCU, short-range wireless, and isolation technologies under one umbrella facilitates defining and developing more highly differentiated products. And combining our distribution-oriented sales and marketing efforts under similar framework, coupled with the higher level of investment we intend to make in product support, will pay dividends for our Broad-based business for many years to come. Now for the guidance. For the first quarter, we expect to be down seasonally in Broadcast, slight in Access, and expect the Broad-based business to be up. We therefore expect revenue to be $120 million $125 million, a better than seasonal 2% to 6% sequential decline. We expect our gross margin to come in at least the middle of our new target range of 62% to 65%. We anticipate first quarter operating expenses will be up sequentially by about $1 million. On a GAAP basis, we are projecting $0.33 to $0.38, and on a non-GAAP basis, excluding stock compensation expense, we expect first quarter earnings of $0.52 to $0.57 [ph]. Now I’d like to take your questions. Shannon?
Shannon Pleasant: Thank you, Necip. We will now open the call for the question-and-answer session so that we can accommodate questions from as many people as possible before the market opens. Please limit your questions to one with one follow-up. Operator, please review the question-and-answer instructions for our call participants.
Operator: Yes, and thank you. (Operator instructions) Thank you. Our first request then is from Craig Ellis of Caris & Company. Your line is open now.
Craig Ellis – Caris & Company: Thank you and congratulations on the nice gross margin performance. Bill, as you look at the fourth quarter increase, can you just help us understand some of the underlying dynamics that were at play from a mix or product cost or other standpoint?
Bill Bock: Sure, Craig. It was an excellent result and driven by continued cost reductions and also some permanent yield improvements that are really helping the business. Mix has not been a primary factor, as we have gone throughout the year. But we have continued to see our product lines performing very well and resisting ASP pressure as we went through 2009. So I think this is an exceptional result in the fourth quarter that really reflective of actions that we have been executing on all year.
Craig Ellis – Caris & Company: Thanks for that. Necip, on the Timing business, that’s one that’s expected to continue to grow quite well this year. Can you just provide some color on where we are in terms of building up that product portfolio and where you think you stand in terms of penetrating key OEMs, both from a number standpoint and then within OEMs, how far long is the business in terms of getting the share of wallet that you think the business can capture?
Necip Sayiner: We have introduced a number of products in 2009, as you know. And we are starting to see a strong design activity for especially the cost generator product 5338 that is seeing a very strong reception from telecom equipment makers. From a revenue perspective, it’s still very modest, but the design win momentum on that product is very strong. We, in the quarter, were able to get our oscillators qualified at a major Chinese networking company, and we have now our sights set at some of the other major telecom providers in Europe that continues to set record for us in terms of both revenue and number of design wins. We had a greater quarter in design wins, a significant improvement sequentially and year-over-year. That’s a product line where we continue to the smash the design win targets. And we have a number of products in the pipeline that we are going to be launching in 2010. So as I said in my prepared remarks, I feel we are still in the very early innings of the timing story.
Craig Ellis – Caris & Company: All right. Thanks, guys.
Operator: Our next request from Ian Ing of Broadpoint. Sir, your line is open now.
Ian Ing – Broadpoint AmTech: Yes. Congratulations on the quarter. In the past, you’ve talked about your growth drivers contributing over $300 million from fiscal year ’09 to fiscal year ’11. Just wanted to get an update on that. Is it still $300 million? Like, did you cross $100 million in 2009? Thanks.
Necip Sayiner: Well, we are announced a target of 40% for 2010 for our Broad-based product. The fraction of revenues we drive from the segment is going to be increasing from roughly 25% in 2009 to over 30% in 2010. And we had talked about a target to get to 40% by 2011, 2012 timeframe in the past. And I think we are very much on track to hit that kind of number.
Ian Ing – Broadpoint AmTech: Okay, thanks. And a follow-up in terms of where we are in the recovery, is there any run rate business in the past that within some product lines that hasn’t returned to the peak since your downturn?
Necip Sayiner: Well, you’ve probably noticed we are running at record levels almost at every product line front. We are seeing record revenues in MCU, in short-range wireless, timing and power in the fourth quarter. Audio and video businesses have seen record levels in the second half, 3Q being seasonally stronger for these two businesses. And even Access business, it is not quite at the record level, but just a couple percent below the prior peak. So I’m very pleased to see the breadth of products that we are making across the portfolio. To answer your question specifically, there are one or two areas that are still lagging in terms of recovery, but we are seeing strength in those areas. One would be the MCU business in the industrial segment, while the USB-based products, small form factors have come and surpassed their prior records. Our precision mixed-signal business is still below its prior peak, but has made very strong stride in 4Q towards that and 1Q looks good also.
Ian Ing – Broadpoint AmTech: Great, thank you.
Operator: Our next request from Adam Benjamin of Jefferies. Your line is open.
Adam Benjamin – Jefferies: Hey, thanks, guys. Just want to revisit the target model, Bill. Obviously you’ve been crushing the gross margin for a while. So that’s not a surprise. But on the top line, 15% to 20% given the four new business lines that are ramping pretty nicely, and the video incrementally as well as timing, those two on a pretty dramatic level in 2010 and 2011, can you talk about the puts and takes as to why you think 15 -- and when you would consider maybe raising it up to 20% to 25%?
Bill Bock: Sure, Adam. I think the key point here is that this is a model that we intend to utilize over a multi-year period of time. And revenue growth objective is for 15% or greater compound annual growth over that extended period. So we believe that the business is certainly going to have periods where it grows more rapidly than that. We think the fundamental objective is to build a company here at Silicon Labs that it can enjoy substantially greater than industry average growth over an extended period of time, with now even improved profitability metrics.
Adam Benjamin – Jefferies: Got you. And then just as it relates to the four new product lines, I believe they all carry higher than kind of corporate gross margin, specifically timing at the top. Can you -- I know you’re not going to give specific gross margins for those four businesses, but the two that are growing the fastest, the video and timing, can you give us some perspective as to where we should be thinking about gross margin for them? Thanks.
Bill Bock: Yes. Adam, I think that you’re right. We do not provide specific details on gross margins by product line. But we have not been shy in suggesting that the timing business is a very attractive product line from that perspective. In the past, even though we have over-performed our gross margin target, we have, me specifically, resisted raising that range from the 60% to 62% because it’s a very challenging metric to continue to improve on. And I think we made the move to 62% to 65% as a function of the strength of our performance all year, but importantly the visibility that we see moving into 2010 and certainly the continued over-performance from a growth rate point of view of businesses like timing. So we think that the new range should appeal to investors and give a strong indication that we think the mix shifts in the business as well as the overall competitiveness of this collection of product lines allows us visibility into strong gross margin performance for sometime to come.
Adam Benjamin – Jefferies: Got you. Very helpful, guys. Thanks.
Operator: Our next request from Romit Shah of Barclays Capital. Your line is now open.
Romit Shah – Barclays Capital: Hi, good morning, guys. You’ve been pretty conservative over the last few quarters and you’ve ended up tracking ahead both on revenues and gross margins. And I saw that revenues came in right at the midpoint this quarter and curious, was there anything that surprised you in terms of puts and takes in the quarter?
Necip Sayiner: I can give you some puts and takes first. Perhaps the major two new customers I alluded to that made up for most of the decline at Samsung that was well publicized ahead of the fourth quarter. We’ve seen some level of inventory management with few Asian customers on consumer audio front, particularly with AM/FM in China, from what we’ve seen in January that was reversed, and we had a very strong month of January in that area. But more importantly, I’d also like to put things in perspective a little bit and not lose the perspective of year-over-year growth that the business has achieved. If you just look at the second half of 2009 and ignore the sequential changes driven by Samsung demand, our revenues have grown nearly 20%. So as a business, we are now operating in a much different plane than most other companies that are reporting. We are way ahead of our prior peak, and many of the companies reporting today are still struggling to get back to their prior peaks. So I’m very pleased with where we are with the business as a whole, and particularly given the breadth and strength that, as mentioned earlier, as record revenues are driven by strength in virtually every product line.
Romit Shah – Barclays Capital: Okay. Those are fair points, Necip. On Samsung, are the inventory adjustments there behind the company as well?
Necip Sayiner: I think Samsung did what they usually do in the fourth quarter. And we are looking at first quarter in our handset business that we expect to remain roughly flat to 4Q levels. And that would also comprehend some of the new pricing that we have offered to our customers in that segment.
Romit Shah – Barclays Capital: Okay. And my follow-up question, Necip, on the handset side, you’ve I think surprised the market over the last couple of years with your revenue performance, and you indicated that this year handsets could be down. Could you just elaborate on what changes you are seeing in the marketplace in terms of pricing and share?
Necip Sayiner: Pricing continues to be very competitive. Introduction of combo solutions as well as integrated baseband solutions that now include this functionality have put even more pressure on ASP. I think we continue to compete while we have been at 30% market share as we exit 2009 in our estimation in handsets. And the number of design wins has come down just a little bit in the second half of 2009 compared to the first half. So that data point combined with what we always have seen as the long-term dynamic of integration into baseband leads us to conclude that our market share may differ a little bit in 2010. And that’s essentially we are guiding to for the full year in terms of revenues.
Romit Shah – Barclays Capital: Okay. Thanks for the color.
Operator: Thank you. Our next request from Srini Pajjuri of CLSA. Your line is open now.
Srini Pajjuri – CLSA: Thank you. Good morning, guys. I guess, Bill, on the gross margin side, your guiding to 62% to 65% for Q1. I’m just curious as to why it will dip in Q1. It looks like mix should actually help you here. Could you give us a bit more color there? Thanks.
Bill Bock: Yes. Srini, I think the fourth quarter result at 65.7% is an exceptional quarter and probably not sustainable going into next year. So our expectation is that we will continue to have very good gross margins in Q1. The guidance says that it will be at least at the midpoint of the range that we’ve suggested, maybe even a little better than that. So the overall transition from fourth quarter to first quarter is going to be modest, and I think you are still going to see a very impressive gross margin result when we report at the end of next quarter.
Srini Pajjuri – CLSA: Okay. And then, Necip, just a follow-up to the previous question. On the AM/FM handset front, you talked about some of the share loss expectations. Could you give us a bit more color as to what you think your share is in handsets and where do you think it will stabilize this year and next?
Necip Sayiner: Just to clarify, the 30% share I’m referring to is -- was our FM tuners in handset. And this is the area that we are allowing for some minor loss in the year. On the AM/FM front, our share is actually increasing very rapidly. We were able to double our revenues from AM/FM in 2009, and we are looking at another year of doubling revenues in 2010. I think what we will see in audio in general, Srini, is the growth in consumer audio driven by those share gains in AM/FM and full year revenues from a major consumer audio customer will more than compensate any decline we may see in handset revenues. So we are looking still, on an aggregate basis, to a growth year in audio.
Srini Pajjuri – CLSA: Okay, great. And then one final question, Necip, you’ve been talking about Power over Ethernet as a growth driver for you. And it looks like it is still fairly small. Could you give us a bit more color as to what your expectation for the ramp in that particular product? Thank you.
Necip Sayiner: I think the PoE ramp with a significant customer has been slower than we would have liked in 2009. And at this point, we are almost fully ramped with the very first program, and we are alluding to an increased footprint with that customer. What that really means is we have a number of design wins with subsequent programs that they are going to be introducing our product throughout 2010. So we will see a continuous ramp in our revenues in PoE this year.
Srini Pajjuri – CLSA: Thank you.
Operator: Our next request from Craig Berger with FBR Capital Markets. Your line is open.
Craig Berger – FBR Capital Markets: Hey, guys, congrats on the very strong results. I guess one of my questions is on -- is just on the Broad-based side, can you talk about what type of visibility you have into the microcontroller business? I know there is a lot of products ramping there, including automotive. Kind of what type of growth should we be expecting over the next year? And also any concerns that you guys are shipping ahead of end market consumption rates and inventories building as we move into the first half, any concerns there? Thank you.
Necip Sayiner: I think the strength in our Broad-based business, particularly in the second half, even surprised us somewhat. Very strong growth in our MCU revenues in the second half in particular. And again, that strength has been very broad with the exception of precision mixed-signal from the industrial segment. Every other product line is at record levels and that appears to continue into first half of 2010. We still don’t see, as we indicated in prior earnings calls, any inventory buildup or what you might term as double ordering as it relates to some of the commodity products. We don’t see that. We keep a close eye on our distributor inventories. So from a Broad-based business perspective, our expectation for 2010 is continued sequential growth throughout the year in MCU, timing, wireless, and in the second half, you can start seeing revenues from human interface as well.
Craig Berger – FBR Capital Markets: Great. And then I guess as a follow-up, any concerns about getting capacity upside? Are you guys all set on that front? And are you still just with a sole foundry supplier?
Necip Sayiner: No, we have multiple foundry suppliers. PSMC is our primary supplier, but we have other than the mix. At this point, across the supply chain, we do see some spot issues, but nothing we feel we can’t work with our suppliers. In the past, our suppliers have supported us really well in quarters of increasing demand that we have experienced back in the third quarter. But this is something that we are keeping a very close eye on and trying to stay ahead of.
Craig Berger – FBR Capital Markets: Last question, operating expenses as we move through the year, how do we think about that?
Bill Bock: Craig, I think that you should anticipate that they will increase as revenues expand. Certainly R&D is an area where we are planning substantial investment this year, and we have a meaningful number of requisitions open for hiring. SG&A, on the other hand, will increase much more gradually, and we would expect it will gain efficiencies in G&A as a percent of revenue over time.
Craig Berger – FBR Capital Markets: Thank you.
Operator: Thank you. Our next request is from Tore Svanberg with Thomas Weisel Partners. Your line is open. Mr. Svanberg?
Tore Svanberg – Thomas Weisel Partners: Yes. Sorry, can you hear me now?
Shannon Pleasant: Yes.
Tore Svanberg – Thomas Weisel Partners: Yes. Hi. First of all, could you talk about your human interface products? You mentioned you expect to see some contribution there second half of the year. And I’m just wondering if this is going to be a big contributor to revenue in 2010 or if it’s going to be more of a 2011 story.
Necip Sayiner: I think this is going to be a 2011 story. But as I said, we are starting to rack some design wins. We will continue doing that in the first half. Some of the early design wins have occurred with touchpad applications and some consumer radio applications. That will certainly proliferate to some of the other segments. And we will start seeing revenue in the latter part of the year, but I expect it to be modest in the grand scheme of things.
Tore Svanberg – Thomas Weisel Partners: And is there a specific form factor that you are targeting those products with? Is it cell phone-type displays or is this going to be tablet-type displays?
Necip Sayiner: Current set of products that we are offering are limited to smaller screen sizes, but that technology can and will be expanded down the road to larger screen size.
Tore Svanberg – Thomas Weisel Partners: Great. And my follow-up is, could you just talk a little bit about your visibility? I know you don’t usually give backlog numbers, but how do you feel right now as far as coverage for the March quarter and maybe even beyond?
Necip Sayiner: In general, we have -- I think -- we'd like to think we have pretty good visibility on the current quarter. And roughly five weeks into the quarter, we feel the guidance range that we are providing is pretty robust.
Tore Svanberg – Thomas Weisel Partners: Very good. Thank you.
Operator: Our next request from Alex Gauna of JMP Securities. Your line is open.
Alex Gauna – JMP Securities: Thanks very much. I was wondering if you could comment on what effect you might expect from Chinese New Year, how inventory adjustments work through that, maybe what visibility you have beyond. And is there any lesson you could take from the Western holiday season in terms of how you think things might play out?
Necip Sayiner: We have seen some inventory management with many of our customers, as we entered the holiday season, as I mentioned earlier, in the consumer space. We basically expect a repeat of prior year’s this quarter with respect to Chinese New Year in terms of ordering patterns. And how strong the Chinese New Year is obviously anyone’s guess. But at this point in time, many of our large customers and large distributors, we have reasonably good coverage and feel good about overall guidance and product line coverage that I gave you.
Alex Gauna – JMP Securities: Is it correct that your exposure to Asian economies is up in recent years? And if so, what percentage of your products do you think might be at this juncture exposed to seasonal consumer electronic trends in that region?
Necip Sayiner: So -- using an internal measure that takes into account now only where we shipped our product but also where the design wins are generated, I can tell you that using that internal measure, Asia was up in mid-teens in 2009 over 2008. And that was led primarily by strong performance out of China and Korea. Europe was up also in the low-teens on a year-on-year perspective and North America was down. So your observation is spot on, as that -- and that our business is shifting more and more to Asia.
Alex Gauna – JMP Securities: Last one if I could. That new consumer audio for AM/FM tuning that expected to augment your cellular exposure, when is that or is that kicking in, and any color on that?
Necip Sayiner: Well, it is. It’s becoming a lot more measurable. The AM/FM piece of this is doubled in 2009. So as it doubles again in 2010, it’s certainly going to start moving the needle for us. But we also will enjoy a full year of revenues from a leading customer we’ve added to our list in the second half. So all in all, I expect the consumer audio revenue growth in 2010 will accelerate sharply from 2009.
Alex Gauna – JMP Securities: Thank you. Congratulations on the strength.
Necip Sayiner: Thank you.
Operator: Thank you. Our next request from Gus Richard of Piper Jaffray. Your line is open.
Gus Richard – Piper Jaffray: Yes. Thanks for taking my question. You announced a couple design wins with major OEMs on the video tuner. Just wondering if you could kind of give some color on sort of the try-out period, if you will. And sort of when you get confidence that you will be more broadly expanded into other TVs?
Necip Sayiner: Gus, this is a very good question. As this is playing just as we expected, we have gotten this to significant wins with two important customers on one of their models. For example, with one of those, we are ramping now into their ATSC models for North America. They have plans to use this solution for their European models in the fall. Another customer is using us to get started on a domestic model in Japan that is starting to ramp in spring. And similarly again, they have plans to carry the design into their European models for fall. So I think that type of proliferation is going to be very common place [ph]. The customers are going to start using this new technology in one or two of their models. And as they build some shipping track record, proliferate that into their other models. So from that perspective, this year will be an adoption year. I expect that with successful track record this year. The market share will take a meaningful step-up for silicon tuners, particularly ours in 2011.
Gus Richard – Piper Jaffray: Got it. And then just one question on integration, there has been a number of announcements for silicon tuners over the last year. And the path to integration is a little bit different across the vendor base. Some people are deciding to put the video demod in with the MPEG decoder and leaving the tuner stand-alone. And was just wondering sort of how you guys have gone with the tuner and demod together. Sort of any thoughts on puts and takes and why a customer would go in one direction versus another?
Necip Sayiner: I think that partitioning will be different depending the customer and their particular platform roadmaps and approaches. I think one trend that we are seeing with the major TV OEMs is a push towards generating chassis that can support multiple media, terrestrial cable, and satellite on the same chassis. So the approach that we have taken where we have a tuner that can be used globally and we are developing demods that combine terrestrial and cable, and we have the ability to do the same with satellite, allows us to provide receivers that they can use in any given geography with all the media support, all they need buttoned up next to that solution is a plain vanilla MPEG agent. So this approach is appealing to many of the customers. And we also think that this approach is better from a performance perspective, but I don’t think that will be a single approach across all OEMs over time.
Gus Richard – Piper Jaffray: Got it. Okay. I got it. I'll take the rest of the questions offline. Thanks so much.
Operator: Thank you. Our next request from Arnab Chanda of Roth Capital. Your line is open now.
Arnab Chanda – Roth Capital: Thank you. Just a couple of questions on the audio business. Can you talk a little bit about, at the moment, what percentage of your business around what -- how much of your business is split between consumer versus wireless?
Necip Sayiner: You mean handset and consumer audio I assume, Arnab.
Arnab Chanda – Roth Capital: Yes.
Necip Sayiner: For the full year, I think it was roughly two-thirds, one-third. Two-thirds being handset. That’s primarily due to the consumer piece being extremely weak in the first half. So from an exit rate point of view, probably closer to 60/40, again favoring handset. And with the strength that we expect to see in the consumer audio, as I indicated, that ratio will likely be 50/50 as we exit this year.
Arnab Chanda – Roth Capital: Great. And then a question about that wireless -- handset side of the audio business, is it the fact that you are basically now at a point where there is significant integration and from hereon we should assume that business over time goes away, or how should we think about that for the next sort of couple years?
Necip Sayiner: I think this is a business where we are going to continue to participate long-term. I don’t expect to be able to maintain the 30% market share that we have achieved in handsets. But any decline in share, any loss to integrated baseband, for example, we expect it to be orderly and certainly be compensated by the significant growth that we see in consumer audio. The overall trend [ph] in consumer audio is still bigger than it is in handsets. And 2010 will also be an exciting year for the audio business as we introduce a number of new products in the consumer audio space that will meaningfully expand our strength [ph].
Arnab Chanda – Roth Capital: And one just question on seasonality, if you look at your seasonality, it seems like Q1 used to be kind of more seasonally weak and Q4 was obviously not that strong this time too. Is that just an artifact of what happened at Samsung, or should we expect that general pattern to hold going forward? Thank you.
Necip Sayiner: I think that’s primarily correct. I think some of the strength is being clouded by what we’ve seen at Samsung. We had a spectacular third quarter. We are going to continue to see the seasonality in our business. And with the addition of significant consumer audio customers that will likely be more pronounced for us going forward. But we are also seeing a lot of strength in our Broad-based business that makes up for that seasonality, and hence the guidance is better than historic norms.
Operator: Thank you. Our last question for today from Anil Doradla with William Blair. And your line is open now.
Anil Doradla – William Blair: Thanks a lot guys for squeezing me in. Couple of questions. On the timing side, you talk about crushing some design wins. Who are seeing out there? Are there many people out there or it’s basically you are the only company providing these solutions?
Necip Sayiner: On the clock front, there are a number of suppliers that we take business from on the high performance end of things. So it’s certainly not a field void of competition, but we believe we bring a very strong value proposition to our customers. In the oscillator --
Anil Doradla – William Blair: No, from --
Necip Sayiner: In the oscillator space, we are competing with primarily module makers. I think our -- and quartz-based oscillators. So our approach in that area is very unique. There are no other silicon vendors who have been able to duplicate what we’ve done in the oscillator space. And given the flexibility we provide to our customers in much shorter lead-times and being able to reduce their supplier base by a way of buying both oscillators and clocks from the same suppliers, I think we are in a good spot.
Anil Doradla – William Blair: So you are basically saying that on the oscillator side you are the only CMOS-based company, but on the other side, you have certain CMOS-based players, or across the board you are the only CMOS?
Necip Sayiner: I mean, the silicon-based vendors have been able to offer high performance clocks. But we haven’t seen any commercially viable silicon-based DCXOs we have in our portfolio to date.
Anil Doradla – William Blair: And recently a large competitor of yours actually made a foray into the CMOS-based oscillator technology. The question is how important is it being an incumbent player in this business? Do you have incumbency advantage?
Necip Sayiner: We still have a pretty small share in that space, as I alluded to. I think the customers at the end of the day have strong requirements as to performance and stability and lead-times, and aware of the moves our competitors are making. But that doesn’t really give us any heartburn.
Anil Doradla – William Blair: Okay. Thank you very much.